Romil Singh: All right, since time is 8:31, good morning and good evening, ladies and gentlemen. This is Romil here from the Investor Relations team and I will be the moderator for today’s call. On behalf of ASMPT Limited, let me welcome all of you to The Group’s Investor Conference Call for the First Quarter of 2024 and we would like to thank you for your interest and your continued support in the company. Please note that all participants will be on listen-only mode when the management is presenting. We will start the Q&A only after the management has gone through the entire presentation. During the Q&A session, priority will be given to the covering analysts. As part of our standard disclaimer, please do note that during this conference call there may be forward-looking statements with respect to the company’s business and financial conditions. Such forward-looking statements could involve known and unknown uncertainties and risks that could cause actual results, performance and events to differ materially from those expressed or implied during this conference call. For your reference, the investor relations presentation for our recent results is available on our website. On today’s call, we have the Group Chief Executive Officer, Robin; and the Group Chief Financial Officer, Katie. Robin will cover the Group’s key highlights, outlook and the guidance for second quarter, while Katie will provide details on the financial performance. And then we will open the floor for Q&A. So with that, let me hand the time over to Robin now.
Robin Gerard Ng Cher Tat: Thank you, Rom. Good morning and good evening to everyone today. It is a pleasure to have you all on our earnings conference call for the first quarter of 2024. Before we begin, let me take this opportunity to share some thoughts on the overall macro environment and some key highlights of our business. The macroeconomic environment continues to present challenges. While the slow recovery of the Chinese economy continues, there have been dynamic and often rapidly evolving geopolitical conflicts that have rolled markets. Coupled with stubborn inflationary pressure and the more recent sphere of interest rate hikes, overall consumer sentiment remained weak, trickling down and causing tepid electronics demand. Against this backdrop, our unique and broad based portfolio shielded us to a certain extent as our two segments follow different cycles. For the first quarter, ASMPT delivered revenue at a midpoint of guidance with a higher revenue proportion from our SMT business. Our broad based portfolio serves diverse end markets. And this continued to be an advantage for us because weakness in some end markets can at times be compensated by strength in others. For this quarter, the Group’s automotive applications continued to form the highest proportion of our overall Group revenue. Revenue from SMT’s automotive application also grew compared with the previous quarter despite softness in the overall automotive market. As for SEMI, its automotive solution benefitted owing to exposure to certain specialized technology areas of the supply chain, such as power and silicon carbide modules and smart headlamps for high-end vehicles. An important development for the Group in the first quarter was a book-to-bill ratio that moved above one after seven quarters. Bookings for the Group grew in the first quarter as both business segments had higher bookings when compared to the previous quarter. SEMI’s booking growth was also due to a low base effect. SMT bookings grew quarter-on-quarter and began stabilizing after softening in the second half of 2023, mainly due to automotive and industrial end markets. The Group bookings growth in the first quarter was mostly propelled by strong demand for its advanced packaging, or AP solutions, with both SEMI and SMT contributing strongly to Group AP’s booking. The Group’s interconnect solutions, including thermal compression bonding, hybrid bonding and flip chip high precision die-bonding were mainly driven by AI, together with SMT’s system in package or SIP tools this contributed strongly to Group’s AP bookings in the first quarter. Let me share more about the progress of our AP solutions, which have the highest growth potential under our portfolio. Undoubtedly, advanced packaging continues to be a bright spot for the Group. We strongly believe that the Group has the industry’s most comprehensive suite of AP solutions that serve a diverse range of applications. Moreover, we are deeply embedded in the supply chain of major generative AI and high performance computing customers, and hence are in a commanding position to capitalize on the growing demand from an increasing range of such applications. Let me shift focus to our most popular AP solution, thermal compression bonding, or TCB. For logic applications, we continue to win TCB orders in the first quarter from IDM and OSAT customers. For a leading foundry customer, we have started to deliver TCB tools in the first quarter for chip-to-substrate application as part of the meaningful orders that we won from this customer in the second half of last year. To support these customers growing AP demand propelled by generative AI, we expect more TCB orders for chip-to-substrate application from this leading foundry and its supply chain partners in the second quarter and beyond. In addition, we also recently delivered our next generation ultra-fine-pitched TCB tool for chip-to-wafer application to this foundry customer for joint development, and we are confident of winning chip-to-wafer TCB orders in the coming quarters. Next, let me talk about high bandwidth memory, or HBM potential. The Group’s TCB tools, already in production, are the leading HBM player for 12 high stacking. We have shipped out a demo tool to another HBM customer and have more tools in the pipeline. I’m sure most of you are aware of the news circulating recently since last month on the relaxation of the package thickness on the next generation of HBM. We have experienced heightened engagement with multiple HBM players as TCB is emerging as a preferred solution for stacking requirements of 12 high, 16 high and above. This is due to TCB’s continued advantage in terms of cost over performance or total cost of ownership criteria. We remain confident of the strength of a TCB solution in terms of accuracy, thin or large die handling capabilities and our deep process knowledge gathered over more than a decade. With a competitive advantage and based on the above mentioned customer engagement, ASMPT is in a strong position to benefit as TCB adoption accelerates for both logic and HBM applications. Let me talk a little bit about hybrid bonding. Last quarter we indicated that we expected more orders. I’m pleased to highlight that in the first quarter we won orders for two more hybrid bonding tools for logic applications and we remain confident of winning more hybrid bonding orders in the coming quarters. In addition to our SEMI AP tools booking for our SMT AP tools also grew quarter-on-quarter, mainly due to SiP tools demand, mostly coming from RF modules for high-end smartphones and wearables from leading global players and also from PC and server related applications.
, :
Katie Xu: Thank you, Robin. Good morning and good evening everyone. Let me take you through the Group financials. This slide covers the Group’s key financial metrics for the first quarter of 2024. The Group delivered revenue at midpoint of guidance. Revenue for Q1 was down quarter-on-quarter, mainly due to the prolonged semiconductor down cycle that impacted our SEMI business. Though SMT revenue also declined, it was a much smaller rate and SMT contributed a high proportion of Group revenue. This highlights the advantage of our broad based portfolio as SEMI and SMT segments follow different business cycles and provide some stability at the Group level. Group bookings had growth quarter-on-quarter in Q1 as both segments grew, and the growth was mostly powered by Advanced Packaging solutions. Our backlog remained stable at about US$849 million at the end of Q1. Group gross margin remained at a relatively high level in the first quarter and it was down slightly quarter-on-quarter. For Q1, Group’s adjusted net profit was HK$177.5 million, an increase of 132.1% quarter-on-quarter and adjusted earnings per share was HK$0.43, an increase of 138.9% quarter-on-quarter. The Group continued to have a robust balance sheet with cash and bank deposits at HK$5.25 billion and net cash at HK$2.75 billion at the end of Q1. In the first quarter, Group revenue was US$401.4 million. Revenue was down 7.8% quarter-on-quarter due to both SEMI and SMT, but SEMI’s revenue decline was steeper due to the prolonged semiconductor down cycle. Group bookings in the first quarter grew 17% quarter-on-quarter to US$409.3 million, as both segments registered bookings growth. As Robin highlighted earlier, this booking growth was supported by robust demand for Advanced Packaging solutions on both SEMI and SMT. Group gross margin declined slightly by 40 basis points quarter-on-quarter to 41.9%, this is due at a higher level compared with previous quarters. The slight decline was mainly due to SMT’s lower gross margin, but partially offset by SEMI. Group operating margin improved quarter-on-quarter by 218 basis points to 7.6% in the first quarter. This was mainly due to lower operating expenses from ongoing cost measures and seasonality effects. Last quarter we announced that we’ll invest in R&D and infrastructure with an additional HK$250 million for 2024. The projects are on track and will intensify in the remainder of the year. Semi delivered a revenue of US$175.8 million in the first quarter, a decline of 13.7% quarter-on-quarter. The IC/Discrete Business Unit had quarter-on-quarter decline in revenue, mainly due to industry weakness for the Group’s deposition tools. However, there was some sporadic demand for consumer related mainstream tools in the quarter. Optoelectronics Business Unit’s revenue declined quarter-on-quarter. The business unit’s revenue was mainly driven by high-end automotive headlamps and photonics related applications. Revenue for CIS business unit grew quarter-on-quarter from a low base. Growth was mainly due to high-end smartphone market. SEMI’s bookings grew at 25.1% quarter-on-quarter from a low base to $199 million, mainly due to consumer and computers end market applications. SEMI’s advanced packaging solutions also registered quarter-on-quarter growth. It is worth noting that SEMI’s booking turned to growth on a year-on-year basis in Q4 last year and it continued this trend in Q1 2024. Despite lower volume segment gross margin improved by 86 basis points quarter-on-quarter to 44.6%, mainly due to a one-off benefit from the sale of previously provisioned inventory. For Q1 2024, our SMT segment continued to deliver higher revenue than SEMI for a seventh consecutive quarter and it contributed about 56% of Group revenue. SMT registered revenue of US$225.5 million, a marginal decline of 2.6% quarter-on-quarter. SMT revenue performance continued to be dominated by automotive and industrial end market applications and mostly in Europe. Segment bookings grew 10.1% quarter-on-quarter to $210.3 million in the first quarter, mainly driven by growth from advanced packaging and automotive applications. SMT gross margin was at a healthy level of 39.7% in the first quarter. There was a decline of 123 basis points quarter-on-quarter due to product mix. Let me now pass the time back to Robin for next quarter’s revenue guidance.
Robin Gerard Ng Cher Tat: Thank you, Katie. The Group expects second quarter revenue to be between US$380 million to US$440 million. At midpoint of US$410 million this represents a decline of 17.6% year-on-year and an increase of 2.2% quarter-on-quarter. The slight quarter-on-quarter increase is due to higher revenue from SEMI, partially offset by lower revenue from SMT. Based on our unique and broad based portfolio, we remain optimistic about the Group’s prospects and the potential for growth over the long-term. This confidence is further supported by long-term structural trends of automotive electrification, smart factories, green infrastructure, 5G, IoT and AI growth across cloud, data center and AI edge devices. On a broader level, these structure trends are also moving in tandem with increased CapEx spend from nations securing their supply chains via more onshoring and organizations preparing themselves to deal with the more dynamic global supply chains. This concludes our presentation for the first quarter of 2024. Thank you. And we are now ready for Q&A. Let me pass the time to Romil to facilitate it.
A - Romil Singh: Thank you, Robin. [Operator Instructions] With that, can I first request Gokul to unmute yourself and ask your questions?
Gokul Hariharan: Yeah hi, good morning. And thanks for taking the questions. First question is on TCB, looks like the progress is quite good on your foundry and OSAT customers. Robin, does it now feel that your kind of TCB order momentum and shipment momentum is materially better than what you had indicated three to four months back where you talked about equaling the shipments that you did in the past 10 years until 2021, or is it still pretty much in that same range? Secondly, on HPM, you were a little bit more cautious on the HPM adoption of TCB previously. Are you starting to see meaningful progress on 12H, 16H with many customers? I am asking this because one of your competitors still insists that most of HPM will be sticking with mass reflow. Are your TCB tools ready to be used on mass reflow, or you basically require the customer to move to local reflow to start using your high precision TCB tools in HBM? Yes, that’s my first question. Thank you.
Romil Singh: Okay, Gokul, maybe I’ll break it down into two segments and Robin will answer these questions for you. First one is on the progress that’s happening on the logic side, especially with the foundry and OSAT customers. So we’ll request Robin to comment whether the order momentum for the order flow and traction with this customer better than it was three to four months back.
Robin Gerard Ng Cher Tat: Thank you, Romil. Gokul, good morning. Now for your first question, I think you’re trying to gauge a sense of whether there’s any difference three months ago, three, four months ago compared to now. I think, yes, in a way, whatever that we were telling the Street came to realization, right. We want the orders for the chip-to-substrate application is recorded, shipped to the leading supplier – foundry. And we have already started to ship a couple of tools already. In addition, as you can see in our MD&A in our announcement, we have also shipped a next-generation of ultrafine pitch tool also to this leading foundry for joint development. And this is for the chip-to-wafer applications. So you recall, chip to – TCB has started – been started to use for chip-to-substrate at the logic side. And now, as we have alluded before, in time to come, TCB will also be used for chip-to-wafer applications. So I think that has come to, in a way, what we expected. Now we are definitely on track. We said that TCB, in terms of dollar revenue for 2012 to 2021, compared with 2022 to 2024, the amount will be the same, right. So in other words, in short, there is an accelerated adoption of TCB in the last couple of years going into 2024.
Romil Singh: Okay, so for the second part of the question, it’s more on the HBM potential for TCB. Gokul, noted that we were a bit more cautious previously, and now whether the progress is more meaningful, especially in relation to 12 high, 16 high kind of HBM stacking. And how does the TCB compare in terms of tool wise versus MR. So maybe Robin can give an overview on all these engagements and his views on the HBM potential for TCB.
Robin Gerard Ng Cher Tat: Sure. Now, Gokul, there’s a distinction, when you talk about MR is mass reflow tool. So these are basically for what we call a flip chip kind of mass reflow. So it’s different from TCB. TCB is a local reflow process. So don’t mix up MR with local reflow process like the TCB tool. So there are different set of tools altogether. Now yes, we sound more optimistic for HBM because as we have alluded before to the Street, that we see that increasingly when you for HBM going from 12 high to 16 high and beyond. These are view that the MR has certain limitations in terms of accuracy and in terms of handling increasingly higher density memory die. And also as you continue, we believe that as the industry continues to step higher and higher, the memory die has to be thinner and thinner. So in terms of accuracy, in terms of packaging more I/O in the memory die, and also in terms of thin die, it’s our opinion that TCB has better handling capability in all these metrics comparing to a mass reflow tool. So that’s why we have been saying that. And also let me also highlight that in the recent development, there was some discussion that the HBM high can be relaxed from now 720 micron to 775 micron. And this bodes well for a TCB tool, right. Because previously, at some point when there’s a height restriction, there is some concern that TCB may not be able to use for multiple high HBM because it will exceed the limit. But with this relaxation, there is certainly more room and more potential for TCB application for 12 high HBM, 16 high and beyond. Next question, please.
Gokul Hariharan: Okay, that’s clear. Thanks, Robin. My second question, just want to follow up a bit more here. So if you look at these three distinct buckets of TCB demand logic/foundry, OSAT and memory, or HBM, let’s say in three to four years, Robin, which is, can you rank these in terms of the size of the addressable market you see for TCB? Because today I think logic is still the biggest. And then foundry, OSAT is catching up. HBM is kind of the long-term potential. But let’s say three years, four years later, do you have any view on what is the kind of rank order of these three distinct markets for TCB? And lastly, I think if you have, could you share some rough thoughts on what percentage of your semi solution business is going to support AI applications right now? Is it like mid to high single-digit already, or is it lower than that? Just wanted to given that a lot of other companies or your peers are also talking about their AI exposure in terms of total revenues. Thank you.
Romil Singh: Okay, so Gokul, the first part of the question is basically on the demand. Can Robin break down the demand in terms of say, logic IDMs, logic/foundry and OSATs and HBM going forward?
Robin Gerard Ng Cher Tat: Okay, now our internal view about this devices, HBM versus logic versus the HPC, I think HBM in our view is that because as HBM continues to increase in high going forward from currently 8 high to 12 high to 16 high and beyond, I think it’s intuitive that the more volume will be skewed towards HBM in time to come compared to the logic side. Now it’s difficult to clearly, on the other hand, it’s difficult to clearly distinguish or try to differentiate between the logic and the HPC side. To a certain extent, they are kind of interrelated. So difficult to really draw a clear line so I think it’s easier to try to distinguish between HPC/logic on one camp with HBM. So for that, we believe HBM potential for TCB is larger in time to come. In time to come because 12 high at this point in time is still at low volume. HBM players are now mostly coming up with 8 high, but we believe 12 high will take on a more higher proportion in time to come, maybe starting from 2025 onwards. But this is our view so far about these kind of applications.
Romil Singh: Just a second. Thanks Robin. Gokul, I want to clarify your next part of the question. So you want to know on AP as percentage of the semi business, do you want to know more from a revenue perspective or do you want to know more from investment perspective and AP, are you specifically targeting on AI?
Gokul Hariharan: Yes. I’m just asking of SEMI Solutions what percentage of your revenue is coming from AI applications. You probably have a rough idea where these tools are eventually going.
Robin Gerard Ng Cher Tat: Okay. So we can’t – Gokul, how you understand – we can’t be too definitive over here because of competitive reason. But I can safely say that TCB application at this point in time [indiscernible] HPC and also the AI. But it’s sometimes difficult to clear, as I said earlier, it’s difficult to clearly mark, you know what is HPC, what is logic? Because they can be kind of overlapping. So from that perspective, HBM is – yes, I know. From that perspective, I think TCB is looking at the volume in terms of suite of AP solution is the highest contributor, right? So – and also so that’s mostly at this point in time for AI, I would say. And besides TCB, there are also other tools like our Photonics tools. They are also AI related. Our – in fact also our SMT tool as well because SMT we believe our customers are using our SMT tools to place what you call passive devices on 2.5D packaging as well. So we are also facilitating AI application also from our SMT side and also not forgetting our next deposition tools, we are laying interconnect layers on organic substrates. So from that perspective, we are quite well represented in the generative AI space.
Gokul Hariharan: Okay. Thank you.
Romil Singh: Thanks, Gokul. Next, can I request Donnie to unmute yourself and ask your questions?
Donnie Teng: Yes. Thank you, Robin, and management team for taking my question. My first question is housekeeping questions, so could you kindly give us some colors on the booking trend into the second quarter this year and when exactly you expect the conventional packaging order to start to recover more meaningfully in the rest of the year? And second question is regarding to the chip-to-wafer TCB progress. So you mentioned about you have jointly developed the next-gen chip-to-wafer TCB with leading foundry. So does that mean we are providing new demo tools to the customer and when exactly we can see repeating orders or the orders for mass production in the next couple of quarters? Thank you.
Romil Singh: Thanks. Donnie, first part of your question is more color for bookings for second quarter and specifically demand for the mainstream or conventional tools. So we’ll request Robin to answer that first.
Robin Gerard Ng Cher Tat: Thank you, Donnie. Yes. So as you know, we don’t give concrete guidance for booking, we only give for revenue. But certainly, as usual, we can give you some color, how we see Q2 booking for this year trending. We expect bookings for Q2 to be kind of flattish on a Q-on-Q basis for both segments, SEMI as well as SMT. On a year-on-year basis, bookings will be higher. That’s a good sign on a year-on-year, because on a year-on-year basis, it really cuts out the seasonality factor. So we expect the increase to come mainly from the S – SEMI segment, sorry, whereas for the SMT segment, probably a little bit down or kind of flattish compared to year-on-year. The reason is very simple, because SMT last year first half, they were still on a high in terms of booking, whereas SEMI has already in a way corrected for some time already since the beginning of last year. Now, we expect this year-on-year increase in booking to actually continue into the remaining part of 2024. I think that is probably a positive sign that we are hoping to realize in time to come, right? At this point, this is our expectation and year-on-year basically should increase going forward. I can give you a little bit more color as you asked about mainstream, but we look at bookings for Q2 in three areas, right? One area is, let me start off with Advanced Packaging booking first. We expect Advanced Packaging bookings to remain robust. In other words, momentum for Advanced Packaging, in particular for TCB application will continue to be robust. And AP bookings, in our opinion at this point will continue to increase Q-on-Q. That means Q2 versus Q1 and also year-on-year Q2 this year versus last year Q2. The increase – I think we expect the increase mainly will come from the SEMI side rather than the SMT side. Now, for SMT, the booking seems to be stabilizing and for number of quarters already and we believe the bookings for SMT, the downside is limited. So it’s kind of bottoming out also for SMT already. Now, for SEMI mainstream, we see bookings in Q2 continue to remain at a low level mainstream, and mainly because at this point in time, we also do not have a lot of visibility in the near-term. As you recall, for SEMI mainstream tools, typically our lead times is only about three months, right? So in this current environment, our customers on the mainstream side tend to be a little bit more cautious. So they only place order when they are sure of the timing of recovery. So because of that, we lack also the visibility in the near-term for SEMI mainstream site. I hope I answered the first part of your question, right?
Romil Singh: Yes. So the second question is more on the progress of chip-to-wafer application for our TCB. And we have demo tool for joint development already at a leading foundry. So Donnie wants to know more on the potential of this and when will this translate into order flow?
Robin Gerard Ng Cher Tat: Certainly. I think one of the reasons we have been saying why the logic – vehicle will have to move to TCB eventually, because there is this increasing need for customers to pack more and more chips together at the chip-to-wafer level. And also because of that, they need to the pitch requirement and the accuracy requirement will continue to increase. And from that perspective, TCB, in our opinion is superior to the mass reflow tool. Now, so as these trends continue, we are optimistic that our TCB tool will gain more traction in terms of chip-to-wafer application in time to come. In terms of timing, we just shift that ultrafine pitch tool for chip-to-wafer to the leading foundry. So it takes some time for them to test it out. So we are hopeful that maybe in the coming couple of quarters, we could see some concrete orders which would be delivered either the later part of this year or maybe the beginning of 2025. This is how we see the chip-to-wafer application going forward for TCB tools. Next question, please.
Romil Singh: Next, can I request, Randy, can you unmute yourself and ask your questions?
Unidentified Analyst: Yes. Hi, thank you. Actually, I want to ask maybe two follow ups on those comments on TCB, just given the interest. First for high bandwidth memory, where we’re starting to get the 12H stacks coming into production later this year. Are you seeing potential for a steeper ramp up? You mentioned HBM could be the larger opportunity over time. So do you see the potential 2025 could be the inflection for your business, or more reasonably, is it more tied to the ramp up of HBM4? So it could take a little bit longer to get qualified in or at least for your tools advantage to really be recognized. I’m just curious, when that cuts in for the volume ramp. And then I had a follow-up on the chip-to-wafer versus chip-to-substrate, do you view that opportunity larger, like as you come into it relative to chip-to-substrate, could that ultimately be the more meaningful and is it a higher value tool that you’d get an ASP lift as well?
Romil Singh: All right, thanks, Randy. Okay, so for your first question, more towards TCB for HBM, acknowledging that some tools are already into 12H production. So maybe I’ll request Robin to comment on the demand, especially how it’s going to take off, whether the demand and ramp up is going to be steeper soon in 2025 and 2025 might be an inflection point or will it be timing the HBM4 potential whenever that happens?
Robin Gerard Ng Cher Tat: Thanks, Randy, for the question. Now, a little bit of a background first, I want to emphasize that for 12H HBM, we already have a few tools already in production. So we believe for 12H TCB, we are probably the first mover in terms of such applications. So we have – together with that leading customer, we have already generated a lot of data, a lot of process knowledge in that area. So if 12H takes off in a meaningful way, we believe we are in a good position to capitalize on the potential for TCB application for HBM 12H and beyond. Now, yes, I think in terms of 12H, as I say, it’s still high volume, but in small volume compared to, say, highat this point in time. So Randy, we tend to believe, also sharing the same sentiment like you, that probably 12H is more of a 2025 story and probably an inflection point for HBM application for TCB.
Unidentified Analyst: Okay. Then next question is on the potential of chip-to-wafer for TCB. Can this potential be bigger than the chip-to-substrate applications? And then in terms of value and ASP of the tool is chip-to-wafer higher than chip-to-substrate?
Robin Gerard Ng Cher Tat: Yes. Maybe first part of the question, technically and potentially, yes, for chip-to-wafer, because – for chip-to-substrate, you’re talking about packaging a large compound die on the substrate. So basically one die, whereas at the chip-to-wafer level, they are using TCB or [indiscernible] for that matter to package to assemble more dies, right. So from that perspective alone, in terms of the number of die that need to be packaged to wafer level compared to one die at the substrate level, potentially there’ll be more TCB tools required for chip-to-wafer level. And not just in terms of number of die, but it’s also in terms of technical requirement. Because as we continue, as I mentioned earlier, as we continue to pack more and more chiplets, I would say, at the chip-to-wafer level, the requirement for accuracy becomes much higher. And that’s why TCB is the choice of tool, the way we see at this point in time. And coming back to your second part of this question, in terms of ASP, probably you can guess by now that because the higher accuracy is needed for chip-to-wafer tools. So from that perspective, chip-to-wafer tools potentially has a high ASP compared to chip-to-substrate application because of the higher technical requirement in terms of pitch, in terms of placement accuracy.
Unidentified Analyst: Great. And I wanted to ask a follow-up, just going into the Hybrid Bonding, where you have the two, a couple orders for the tool, could you discuss where you’re seeing the traction, like the application and how you feel now you’re positioned versus the – I think you had a competitor kind of early in the market, just how you see your position and also what you’re expecting, like now with the second batch of orders, how you see it ramping up over the next one to two years.
Robin Gerard Ng Cher Tat: Yes. I think it all depends on how fast the 12H will take off. Like what I said earlier, we also share your view that probably would be more like a 2025 story for 12H HBM.
Romil Singh: He was asking more from a Hybrid Bonding…
Robin Gerard Ng Cher Tat: Hybrid Bonding.
Katie Xu: Hybrid Bonding.
Unidentified Analyst: Hybrid Bonding, what is the application? If we can disclose some details and also our positioning in Hybrid Bonding compared to peers in the market.
Robin Gerard Ng Cher Tat: Okay, so for Hybrid Bonding, we are not the first mover, right, for sure. And our G1, so far, we have managed to secure for tools already through last year to this year. So as we said earlier, G1 is more like a tool for us to really understand a bit more about the intricacy of the Hybrid Bonding. At the same time, in parallel, we are working on a G2 version. Now for Hybrid Bonding, I think we continue to maintain a stance that at this point we still see TCB at a sweet spot in terms of weather packaging for logic, weather packaging for HBM. Because of really the cost over performance or total cost of ownership kind of perspective. TCB sits right in the middle between [indiscernible] on one side and Hybrid Bonding on the other side. And also with the recent restriction – relaxation of HBM high, I think it plays into the potential for TCB to have a higher potential in terms of also hybrid bond TCB for HBN rather than HB. So that’s how we see it. And secondly, on the TCB side, in terms of progress, in terms of technical capability, together we are customers. We continue to push the boundary in terms of pitch accuracy, in terms of placement accuracy towards more and more closer and closer to the realm of Hybrid Bonding. Of course, Hybrid Bonding is still much more accurate compared to TCB. But because of this push of the TCB capability more and more towards HB, I think TCB potential from the perspective can continue to increase vis-à-vis HB. That’s just of you at this point.
Unidentified Analyst: Okay. Yes, no, thank you. Appreciate that. If I can fit one last question, just back to the bookings outlook. The second quarter normally you’re still at a low base and it traditionally used to have a seasonal pickup. Is the issue certain application or certain segments like IDM, auto industrial or from OSAT. I’m just curious where the softness versus history and when you mentioned second half up year-over-year. If you could clarify, do you expect sequential that we get off the flat second quarter we could get sequential, at least at this stage your view for sequential growth in Q3 and Q4?
Romil Singh: Randy, let me request Robin to comment on the bookings potential for 2Q, because historically, seasonality wise 2Q can be a bit higher than Q1. So why is it not going up? Is there any particular applications or reason which Robin can share? And we did mention that bookings on a year-on-year basis are sort of increasing. So will that trend continue for the remaining part of the year?
Robin Gerard Ng Cher Tat: Okay. Randy, Justin, want to answer a question on Q2 booking kind of color, I did mention that for the SEMI mainstream, we see that continue to be a low level. So if you look at our SEMI business right now, it is running on two tracks. One, on the Advanced Packaging side, the momentum is robust. We see that momentum will continue going forward in the near future for sure. But on the mainstream side, like for example, we are talking about wire bond for example, or the basic time bond, not the advanced one, but more the basic one. These tools are more closely tied to a number of things. One is really more consumer-related kind of applications. So if the consumer demand for electronic goods are still kind of muted, we don’t expect those tools to be in high demand. So the consumer-related end market application, white goods for example, you know, there’s one good example, notebooks is another example, smartphones is another example. So all these more of the consumer facing kind of end market related demands have to come back in a more meaningful way before we can see booking for mainstream SEMI side – to show an update. But having said that, we see some, a little bit more encouraging sign even included that way, compared to last few quarters. Some of these customers, especially customers in China, they are a little bit more; I would say more active in inquiring. Like for example, they say, hey guys, you know, if I want to order these tools, what is the lead time? So there’s some interest, I would say. But if you ask me whether they are willing to place order today, they will probably take, will take a more wait and see approach to time their orders so that they time the order that they can catch the upside rather than buying tools in advance and waiting for the upside to come. So from that perspective, we see that it’s more sporadid [ph] demand coming from the mainstream side. So it’s not an indication that there is any block-based recovery on the mainstream site anytime from now. Yes.
Romil Singh: Thanks, Robin. Next, can I request, Dylan, can you unmute yourself and ask your questions?
Dylan Liu: Yes. Can you hear me?
Romil Singh: Yes, Dylan.
Dylan Liu: Thank you. Thanks for taking my question. Yes. So also two questions from me. One is on TCB. So for TCB I have two parts. One is on logic, so – sorry. One is on HBM. So you mentioned HBM, the inflection point is in 2025 and we see 12H HBM to see more volume next year. But according to our observation, do we see any competitor within our existing memory? Customer for 12H HBM for TCB? And if so, what do we think the market share dynamic will be? And the second will be on logic. On TCB. So I think previous discussions suggest that for chip-to-wafer, the ASP is higher. But if we compare the margins, is there a major difference between the two variants, chip-to-substrate versus chip-to-wafer and logic side of TCB?
Romil Singh: Hey Dylan, first part of the question, TCB for HBM on potentially having an inflection point in 2025. So we’ll request Robin to share a bit more on the market share dynamics and competition in the market.
Robin Gerard Ng Cher Tat: Thanks, Dylan for the question. Now, definitely there’ll be competition, right? I think we are not only want to see a lot of potential for HBM TCB application, I’m sure our competitors are also looking at it from the same angle as well. So Dylan, it’s difficult to kind of predict market share. What I can say for now is that we believe we are the first mover in terms of TCB application for 12H. We have already garnered a lot of data point to continue to improve this application going forward and hopefully that will put us in a good state or in a good position when 12H TCB and [indiscernible] in a big way. In a bigger way, I would say in 2025 beyond compared to 2024. Now your second question is on ASP right?
Dylan Liu: Second question is on the logic side of the TCB in relation to chip-to-wafer that has a higher ASP compared to chip-to-substrate. So whether the margin is also higher for chip-to-wafer applications?
Robin Gerard Ng Cher Tat: Yes, in general, Dylan, I think it’s not just for Advanced Packaging tools, but also for mainstream when customers demand more and more technical requirement or specifications. Right. Typically because we have to invest more and more R&D to be come up with more advanced tools. So typically customers are willing to pay more for more advanced tools. So the ASP are definitely higher. And from that perspective, margin wise I think it will be accretive compared to less advanced tool.
Romil Singh: Dylan, do you have a follow up question?
Dylan Liu: Yes, sure. Thanks for this. And my second question will be on gross margin trend. So when I read the earnings release, I notice that for SEMI solution and margin is expanding sequentially, but part of the reason is because of the sales of provision inventory part of the tools. But if we exclude that, how would the first quarter gross margin be? And I would ask this because I tend to think for first quarter for Advanced Packaging contribution could be higher sequentially considering the booking momentum and combining with your previous comment of a margin accretive nature for Advanced Packaging, why haven’t we seen an improvement of a gross margin? And when do we see improvement of gross margin because of Advanced Packaging and stuff?
Katie Xu: Hi Dylan, this is Katie. Let me answer the question. There are a few layers, so let me just clarify a little bit on the sales due to the provision. So you guys probably remember in Q3 last year we were facing out some of the platforms and we have made provision for those. And fortunately, there is – there are some sales activities in Q1. And I can share with you that it’s a couple million U.S. dollars. So you kind of can figure out what the impact is to margin now. So that’s a one off activity. But overall you’re corrected. As we lean towards advanced packages, more margin is accretive, like what Robin mentioned. But specific Q1, I want to call out that also will mention that there was some sporadic demand in China. Our margin, especially at this very low volume level, margin is very sensitive to product mix, so AP is accretive. But if we have demand coming from consumer or in the China side of consumer mainstream, the margin will have a little bit of headwind. So net-net, we think if you look at our historical margin rates, right, we’ve been running at a pretty steady level despite very low volume in the last two to three years. And I hope that gives you some confidence that going forward as the company continues to grow AP overall, in the long run, the margin should have expansion. But I have to say, like what I tell you guys, every quarter, in a very short term quarter-by-quarter, especially this low volume, the segment mix, volume and the product mix will impact margin quite a bit. I hope that’s clear.
Dylan Liu: Yes. Thank you, Katie. Maybe one quick follow-up on gross margin. And – but on the SMT side, because when we look at the past two quarters of SMT, gross margin is either above 40% or like in first quarter is still around 40%. How do we think about the longer-term trend for SMT? Because and before, I think it’s in a range of 35, mid to high 30s range.
Katie Xu: Dylan, exactly right. SMT historical runs somewhere in the mid-30s. The last few quarters, actually we have, like what Robin mentioned, right, SMT started normalization. So we have come into kind of a relatively low volume level. But the silver linings that within that low volume will actually have a really nice decent proportion that’s coming from high end automotive and industrial content. And that really helps the SMT margin mix situation. So if I’m saying if, right, if SMT sees certain demand coming from markets, that’s actually some certain end market application, that’s like consumer, it will have impact. And again at the very low level, the impact to margin rate will – it could actually be quite big. But overall, again, similar to SEMI right as SMT experience, some bookings from on the AP side, for example, we do feel that again, in the long run, at the group level, both business value should see margin expansion.
Dylan Liu: I see. Very clear. Thank you very much.
Romil Singh: Thanks, Dylan. Next, Kevin, can I request you to unmute yourself and ask your questions?
Unidentified Analyst: Thank you for taking my question. First I have a question regarding TCB for HBM. So I was just wondering how our capability and addressable market, how far it can take us in terms of the – our current technology? Because as the recent relaxation of HBM high to 775 [ph] is our current TCB capability can support up to like 12 to 16 high with no problem or do we need further development into our tool? And also for – if one of the HBM maker were to switch technology to develop something, let’s say switch to MR and UF [ph] or develop some hybrid technology similar to that, would that impact our addressable market for HBM?
Romil Singh: Okay. So first part of the question is more on the capabilities of our tool to handle HBM, especially when it comes to 12 high and 16 high, whether it’s good enough or do we need some technological advancement on upgrades. Request Robin to answer that.
Robin Gerard Ng Cher Tat: Yes, good. Thank you. Now the – let me comment on own tools first. We are continuing to develop more advanced TCB tools going forward to handle finer pitch, thin die and also larger die. The thin die are specifically relevant for HBM. You can imagine that as the industry continue to stack more and more layers onto HBM, right. So one way to keep to a certain high is to make a die thin. So from that perspective, TCB has a better hanging capability say compared to mass reflow. So as an industry migrate from 8, 12, 16 and beyond, that’s why we have been saying we continue to see TCB application become more and more relevant. Now of course TCB technology will have to progress at the same time, right? Because when you continue to increase the density of the HBM to sort of match the computing power at the logic side, these two have the same, right. So as you continue to increase the computing power at the logic side, the industry also have to increase the density, and the memory of the HBM. So they have to increase the IO per die. And with that we need more and more accurate TCB tools. So we have already developed next generation of ultrafine pitch tool that can go below 10 micron kind of pitch, one micron kind of accuracy. So that’s put us in a good position to have this tool to serve both the logic side at the chip-to-wafer as well as for the memory HBM site as the IO density per memory die also increases. So you need more and more accurate TCB tool going forward. So we already have developed ultrafine pitch tool that is ready for that kind of applications.
Romil Singh: Okay. The next part of the question is, if HBM players switch to certain technologies, say MR and UF or some other technologies, what does it mean for us, and are our TCB still relevant or how do we play in it?
Robin Gerard Ng Cher Tat: Yes. Our view is that increasingly as we move from a high to 12 and beyond for that reason I just talked about a couple of minutes back, we believe there’s really limitation in terms of MR application. First, MR tools are not as accurate as TCB tools. And two, MR tools, we believe has also certain limitations in handling thin dye. So from that tool perspective, in terms of accuracy, in terms of the capability to handle thin die, especially for HBM, TCB, stand out as the preferred solution. Next question, please.
Romil Singh: Kevin, do you have a follow-up?
Unidentified Analyst: All right, yes. Just quick follow-up on TCB for chip-to-wafer. I think previous discussion, we’re talking about increasing a potential increase in ASP due to the higher precision. I was just wondering, what about in terms of number of tools needed, would that be also requiring more and what would you say, let’s say a total addressable market for chip-to-wafer compared to chip-to-substrate? Would it be like two times, three times addressable market?
Robin Gerard Ng Cher Tat: Let me answer. I think I’ve sort of talked about it just now, but let me sort of repeat again, between chip-to-substrate and chip-to-wafer because the number of chips at the wafer level will increase, right? Because the industry players are packing more and more chips at the wafer level because of higher computing power requirement. So from that perspective, whereas you competitors are suffering, you’re talking about one compound ID essentially, right? So remember, at the chip-to-substrate level, you’re talking about one compound ID. The chip to wafer level, you’re talking about, pitch [indiscernible] integration of chiplets and the number of chips that we believe the trend will continue to grow, right? The chiplet will get smaller, and the requirement to pack more and more chiplets into a kind of a fixed kind of real estate. So the requirement for accuracy in terms of packaging will continue to increase. So from that perspective, if you compare just chip to wafer and chip-to-substrate, the number of TCT tools in opinion will have to be higher at a chip to wafer level compared to chip-to-substrate.
Romil Singh: Next, can I request Leping? Can you unmute yourself and ask your questions?
Leping Huang: Yes. Thank you for taking my question. So the first question is, can you share some color about your booking momentum by regions, especially in China? So we saw the front end equipment demand was very strong in China in last, I think one-year or one-and-a-half years. But do you think the back end equipment will pick up sometime this year, next year? Thank you.
Robin Gerard Ng Cher Tat: Leping at this moment I mentioned earlier we don’t see it in a very broad based manner. Sporadic demand, yes, I mentioned our customer base in China tend to be a little bit more active compared to the last couple of quarters. So they make more inquiries, they’re a little bit more anxious. If the ramp counts, would they be able to get their tools in time. So we see sporadic demand also coming from certain areas like for the more consumer related application. But as I said, in general the semi-mainstream level of business demand continue to be low as in the previous quarter. So sporadic demand, yes, a little bit more inquiry, yes. The utilization effect mode, we check, we do channel checking, right, customers utilization have increased. Have they reached a level whereby they will by in terms of volume maybe not at this point in time? So we probably have to wait and see for what in terms of [indiscernible] mainstream.
Romil Singh: Leping, do you have a follow up question?
Leping Huang: Yes, yes. So the second question. So I think the market has quite large expectation on the growth of the Chinese memory makers or the – from your side, do you see any order or the order from the Chinese memory maker or the logic maker on the Advanced Packaging, especially HBM similar to HBM like products? Thank you.
Robin Gerard Ng Cher Tat: Yes. In general we do see. We do see for Advanced Packaging Solutions, no specific tools but across the whole range of AP tools that we have, we see our customer base in China definitely getting more active over the last couple of quarters, that’s a trend we’re seeing.
Leping Huang: Okay. So do you think that Chinese has their own HBM like products or not? Yes.
Robin Gerard Ng Cher Tat: I can’t comment specifically, but I think in general that’s a trend. Going to HPM is a trend to match the computing power at the logic side. Yeah.
Leping Huang: Okay, thank you.
Romil Singh: Simon, can you unmute yourself and ask your questions?
Simon Woo: Yes. Can you hear me well?
Robin Gerard Ng Cher Tat: Yes.
Simon Woo: Yes, great. So just thanks Robin and team, very high level question first. Would you recap the overall trend of the Advanced Packaging sales portion? What happened to 2023? And then the Q1, I remember Advanced Packaging revenue portion out of total SEMIs about 20%. So would you recap the trend? Thank you.
Robin Gerard Ng Cher Tat: We don’t report this metrics on a Q1 process, right.
Romil Singh: On a quarterly basis only for half year and full year.
Robin Gerard Ng Cher Tat: Only for full year, but I can give you some color. I think the AP trend is increasing – so – versus the mainstream side. Yes, let me. But you have to wait. Simon, right? We’re under Q2 when report will give a little bit more color as to the composition of the AP proportion versus the mainstream. But at this moment, I can give you indication that the AP momentum is robust compared to the mainstream side.
Romil Singh: So, Simon, just to add on, if you see our yearly announcements and if you see the breakdown of revenue from AP as percentage of the entire Group, that has slowly been increasing, and for 2023, what we reported was about 22% of revenue.
Simon Woo: Yes, that’s great. And then again, I know you guys are discussing a lot about TCB, which is very important for long term growth for ASMPT. So maybe let’s think about your customers. If they have to buy new TCB for every different generation, for a 8H, 12H, 16H, is there any TCB which can cover broadly 12H, 16H, even 16H, or each customer must purchase new TCB to follow the higher DRAM die-stacking? That’s the question.
Romil Singh: Okay, so Simon is saying that for different stacking requirements, say 8H, 12H, 16H, do the customers need to buy different equipment or different TCB’s to handle different stacking, or is there a TCB tool which can handle multiple stacking requirements or multiple height related stacking requirements?
Robin Gerard Ng Cher Tat: Yes, basically our TCB tools are quite fungible, right of course, but the customers – because we said before, for AP, especially for AP, there is no standard way of packaging, right. It differ from customer to customer. But I think within customer itself, the TCB tools, I think, the only distinction is whether you use the ultra-fine page or the current generation of TCB tool. So there is already a distinction because ultra-fine page is – as the word implies, is really precise. So that will be a difference between the TCB tool. But within a customer itself, they will probably stick to one type of TCB tool, because they want consistency in terms of manufacturing. But if you talk about between customer to customer, the configuration can be different, because there is no standard way of packaging. One customers have a different process from another customer type. That is the intricacy of Advanced Packaging tools. So unlike a mainstream tool is plug and play. But Advanced Packaging tool is not.
Romil Singh: Arthur, can you. Oh, sorry. Go ahead. Yes.
Simon Woo: How about this way then the, for example, HBM 3E for new GPU is coming more meaningfully, massively, currently the a high [ph]. But the 12H was upcoming. So to have the HBM 3E with a 12H versus the HBM 2E or 3E, your recommendation to the customer, you know, the new TCB is needed or old TCB can be upgraded. What could be a user?
Robin Gerard Ng Cher Tat: Between the current generation of TCB and ultrafine pitch there are differences in terms of modules, so not likely can be upgraded in the field. So it has to be purchased brand new for the ultrafine pitch on TCB.
Simon Woo: Yes, that’s very great. So very – lastly, so when the customer installed a new TCB for the more advanced HBM, the, obviously the temperature should be higher and the compression level also higher, right. That’s the continuously the, your TCB spec with the temperature level and the compression level must be increased, right?
Robin Gerard Ng Cher Tat: In a way, I mean, this bit technical, but in a way, yes.It depends on the process as well. As I said, the process differs from one customer to another customer. Yes.
Simon Woo: Okay. Yes, good. Thank you very much, Robin.
Romil Singh: Thanks, Simon. Arthur, can you ask your questions?
Unidentified Analyst: Hi, thank you, Robin and Katie, taking my question. Arthur [indiscernible] from Macquarie. First, I want to congratulation ASMPT team has – such a leading Advanced Packaging and I think many people ask about TCB, so I will not ask more. I want to ask another question. So recall 2018 company acquired NEXX and also AMICRA and we actually believe that market is very important for the TSV or for the other process. So can Robin walk us through how you think the total addressable market and the synergy to your existing equipment and any good news you can share with us? Thank you.
Robin Gerard Ng Cher Tat: Okay, thanks, Arthur. A lot of synergy, just now also mentioned in terms of our solution for AI packaging 2.5D package, we are playing in multiple fronts. So TCB for a chip-to-wafer, TCB for chip-to-substrate. Our next two, the depositions, are also involved in interconnect layers on the organic substrate in a panel form. So NEXX is also contributing the area and for AMICRA, which is the photonics tool. We are also contributing to AI in terms of the transceivers market. So we mentioned for last two quarters that we see heightened interest in photonics too, because again, as a computing power increases on the logic side as well as the HBM, right the communication capability, bandwidth transfer rate, all these have to increase in a sense to match with the computing power. So there’s this heightened interest in photonics application, which we are also a leader for a whole range of tools that is required from 100G to 800G and beyond. So we have a whole comprehensive of tools to cater to the kind of photonics transceiver packaging application. So I hope I answered your question on NEXX as well as AMICRA.
Unidentified Analyst: Yes, yes. And one quick follow up. How about TAM?
Robin Gerard Ng Cher Tat: We don’t break down Athur, we don’t break down TAM by individual tools. We have the TAM for AP. So what’s the TAM? Okay.
Romil Singh: Our term TAM Arthur is going to increase up to HK$3.3 billion in 2028, with a CAGR between 2024 to 2028 of about 18%. And this is for our entire AP addressable market. So we have a sort of a cadence of giving this kind of number once a year. And we just updated this number end of last year, which was announced towards end of February.
Unidentified Analyst: Yes. Yes. And Robin, just one qualitative comment. You mentioned that this market actually is getting very robust. So did you stands like a lot of resource need from your team. Like they ask you to add more headcount on the NEXX or ask you more to do more corporate, allocation.
Katie Xu: Hey Arthur, this is Katie. Very nice to hear from you. So in terms of the investment. Right. So at the end of February, we did the annual announcement. We actually mentioned that due to all the activities and just the high potential of AP especially. Right. So we have announced that we would, in addition to the current investment level, would be investing HK$250 million for R&D, especially on AP side, and also infrastructure of the company. And as I mentioned in the opening remarks, those investments, investment projects are all on track. And we do expect that the investment expenses as we go through this year will intensify.
Unidentified Analyst: Thank you, Katie. No more question. Congratulations. Yeah.
Romil Singh: All right. With that, we’ll conclude our Q&A session. Let me request Robin to say a couple of words and conclude this call.
Robin Gerard Ng Cher Tat: Thank you, Rob. So let me quickly highlight some key takeaways from today’s call. Our book-to-bill ratio recovered above one after seven quarters. This was mainly due to growth in our group bookings, fueled by strong demand for our AP solutions. The AP solutions contributed strongly to bookings across both semi as well as S&T. AP remains a bright spot for us, and some encouraging points on its potential based on the first quarter will include the following. TCB having accelerated adoption and also our commanding position in the space, we see heightened levels of engagement with HBM players. In addition to the order momentum in logic for TCB. We see traction also in our hybrid bonding and last, but not least, our market leadership in SiP or Systems-in-Package tools under our SMT business segment. So this concludes our call and I’ll see you all in the next quarter. Thank you and take care. Bye-bye.